Kip Meintzer: Greetings and welcome to the Check Point Software 2024 Fourth Quarter and Full Year Financial Results Video Conference Call. I'm Kip E Meitzer, Global Head of Investor Relations and joining me today are Founder and Executive Chairman Gil Shwed, Chief Executive Officer Nadav Zafrir and our Chief Financial Officer Roei Golan. Before we begin, I'd like to remind everyone that the conference is being recorded and will be available for replay on our website at Check Point.com. During the formal presentation, all Before we begin, I'd like to remind everyone that this conference is being recorded and will be available for replay on our website@checkpoint.com. During the formal presentation, all participants will be in listen-only-mode and that will be followed by a Q&A session. During the presentation, Check Point's representatives may make forward-looking statements. Forward-looking statements generally relate to future events or our future financial or operating performance. These statements involve risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. Any forward-looking statements made speak only as of the date hereof, and Check Point undertakes no obligation to update publicly any forward-looking statements. In our press release, which has been posted on our website, we present GAAP and non-GAAP results, along with a reconciliation of such results as well as reasons for our presentation of non-GAAP information. If you have any questions after the call, please feel free to contact Investor Relations by e-mail at kip@checkpoint.com. And with that I'd like to turn the call over to Roei Golan for the start of our presentation.
Roei Golan: Thank you, Kip and thank you everyone for joining the call. So, I think we had that. We finished 2024 with the high note with strong demand for all our main products. Our revenues reached $704 million. $9 million above the midpoint of our projections. Our non-GAAP EPS was $2.70 at the top end of our projections. Moving to the okay to the annual results, so our revenues reached $2.565 billion. $50 million above the midpoint of our projection in the beginning of the year, while our non-GAAP EPS reached $9.60, 9% growth year-over-year and $0.16 above the midpoint of our projection. So as I mentioned, we did see a strong we did finish the year with a high note with strong demand for our product. I mentioned the revenues. Our Deferred revenues grew by 5% to $2 billion. our calculated billing grew by 11% to $959 million, while our current calculated billing grew by 9%. Our RPO grew by 12% to $2,516 billion. So, I think again that was driven for a strong demand for our product, mainly for the Quantum Force demand for our Quantum Force appliances, the firewall appliances that we can see here the trend that we do see since we launched this Quantum Force in the beginning of the year, we continue to see the positive trend and the strong demand for the power product. This quarter we achieved 8% growth in revenues with $171 million revenues. We also continue to see strong adoption for Infinity Platform by existing customers and also by new customers that are joining Check Point with this platform. I think this answering their needs under one umbrella of product and services. The earnings from Infinity Platform agreements had another strong quarter with strong double-digit growth. Moving to the revenues by geographies so as you can see all our geographies grew. I have to say this is the revenues, but when I'm looking on the new business booking, all the geographies grew by double digits in new business. So, I think that's the most important part because in the end that's that translated into revenues. So again, very strong demand in all geographies. Moving to our P&L, our gross margin was similar to last year with 89%. Our operating expenses reached $317 million, 12% increase compared to last year. That was mainly driven from our continued investment in our go-to-market and also the addition of Cyberint that we acquired in the end of Q3. Our Operating Income was $306 million, 44% operating margin. Moving to the financial income this quarter it reached $25 million, as we keep investing in higher interest rates over time. Our non-GAAP tax rate this quarter was around 8%, mainly due to updates of tax provision, due to several tax assessments we have worldwide. Our non-GAAP in net income grew by 2% to $303 million, while our GAAP net income was $258 million or $2.30 per diluted share, 7% increase year-over-year. For the annual P&L. We can see that our calculated billing also on annual basis had a strong growth of 9% year-over-year. Our total revenue grew by 6%. Again, gross margin similar to our last year's 89%. Our operating margin increased by 10% to $1,181 billion, while our operating expenses increased by 10%; while our operating income grew by 2% to almost $1.1 billion. And when I'm looking into Next field and operating margin, we need to take into account half a point dilution related to our recent acquisition of Cyberlink. I think we discussed it also when we acquired Cyberlink last quarter, but again also a reminder for 2025. Looking on the financial income for the year again reached $96 million. Because of the higher interest rate, we finished the year with non-GAAP tax rate of 13% compared to 14% last year. Again, mainly due to updates in our tax provision as we had tax assessment worldwide. As for the tax expenses next year, we're expecting to be around the same level in each queue and also annually. As a reminder, we're in the middle of tax assessment worldwide and closing this method during the year could change the effective tax rate accordingly. Our non-GAAP net income reached $1,039 billion, increase of 4% year-over-year, while our EPS was $9.6 and as I mentioned grew by 9% year-over-year. And when I'm looking for next year in terms of our number of shares, so we need to take into account a decrease of approximately 1 million shares every quarter. So, we are starting now from 112 and we expect to see 1 million shares reduction every quarter moving to the cash flow. So, we finished the year with $2.8 billion of cash and marketable securities and deposits. Our operating cash flow for the quarter was strong with $249 million, 6% increase year-over-year. Our annual operating cash flow for 2024 was $1,059 billion and also we continue to do our buyback and bought more shares in the amount of $325 million in Q4. And for the full year we bought shares for $1.3 billion. Our operating cash flow for the quarter was strong with $249 million, 6% increase year-over-year. Our annual operating cash flow for 2024 was $1,059 billion and also we continue to do our buyback and bought more shares in the amount of $325 million in Q4. To summarize, so we had a strong quarter revenues and EPS above the midpoint of our projections. It was mainly driven by strong demand for our quantum force appliances. You did see the double-digit growth in calculated billing and also in RPO and we maintain strong profitability With that, I'll hand over the call to Gil.
Gil Shwed: Thank you Roei and glad to see here everyone. It's a pleasure being here. For me, it's a very exciting day because it marks my transition to my new role as the Chairman. But before I jump into that, first, about the quarter. So we have slightly different format today. I'm not going to present the regular slide that speaks about the deals and the quarter. And Nadav is going to spend more time not talking about the quarter, but talking about his vision for check point and about his view of the world. I think it's very important that you all get to start knowing Nadav. For me, the last quarter marked a very good one. I think you heard from Roei, about the financial results. It's good, great to transition with such results. Pretty much all the key financial metrics performed very, very well. I know that some of you were concerned last quarter on billings and you saw that this quarter without any particular focus, billings as an indicator, that's not what we measure internally, but billing as an indicator shows very good health. With 11% growth, we've won many of the deals that were postponed last quarter, we've got more deals there. In this quarter, one of the strong points is that wasn't one or two large deals that skewed the quarter in one direction, it was a collection of wins across the globe and across the different sectors and also across the different product line. Mainly the Quantum and the Quantum Force product line showed strength, something that we've been seeing improving over the last few quarters. And it's great to see now because that's the core of our business. But our Infinity deals were very good. Our email security business was also very good. We even saw some nice growth in the cloud business. So overall all the key metrics that we had were in line with what we expect. And that's a great way again to transition my job. With that in mind, I want to thank everybody that did that. Our customers that showed faith in the best security that we deliver in Check Point our employees, whether it's the developers or the people who do ship our products and mainly the salespeople and our GCO organization with the lead of Rupal delivered a very good quarter. But it's more than just one quarter here I want to turn always thanks to all of you, our shareholders and analysts that followed us for so many years. And again the same thing. Our customers, our employees, our, our leadership team that may Check Point what it is. And if you look at this slide that summarizes my 30, actually I'm 32 years doing what I'm doing. But you see here a summary of almost 31 years of business and you see that on every business metric we have very strong fundamentals. If we look at '95 the year before we went public, we grew since then in revenues 250-fold. I mean profit kind of very similar. EPS grew by more than 300 or close to 400-fold from '95. So on our share price, if I look at the basis of '95, it's almost 800 fold high. I look just at the IPO price in '96, it's 80-fold high, which is also a pretty good number. So I think all these numbers are a testament to the strength of the Security of Check Point and mainly to the very, very good people that surrounded me and will now work with Nadav to take Check Point into new height. Now, in the last few months, I had the pleasure of working with Nadav. We did a very good training and transition process over the last 45 days. Nadav took the role of the CEO and he's doing extremely well. I couldn't be happier than that. Many people ask me what do I do as a chairman. So he put here these pictures about me riding my bike. So yes, I am riding my bike. And as a chairman, I intend to do it not once a week, but maybe twice a week. But I still come every day to the office. I'm very, very excited about the future of Check Point and I'm actually enjoying my new role very, very much. Taking away all the day to day operational responsibilities of running a large company and the ability to speak, to listen, to think about the future. It's a great pleasure for me and relaxing a little bit. And over the next few months, I'm going to redefine my role and mainly be a resource for everybody in Check Point and mainly to Nadav in the way I can help with thinking and experience in helping in the future. This month and a half, I think Nadav is already doing a great job. I couldn't have picked a better leader for Check Point. I know that Nadav will take Check Point to new heights and I wish him and I anticipate that we'll have great, great success with it. And I hope it will be here a year from now, five years from now, 10 years from now, and see how the graph that I show you continue to perform well. This is what I wish for everybody, for you, for our customers, that we'll get more security for employees. And with that, I think it's a great transition to transfer the call to Nadav so you can hear his thoughts about the future. Nadav, the floor is yours.
Nadav Zafrir: Thank you so much, Gil. As you can tell, I have big shoes to fill. You know, naturally. Very excited to be here and speak to you all for the first time. So glad to see you and hope to have the opportunity to see many of you more often and in person in the future. I think it's also an opportunity for me to thank the board for selecting me. But especially I want to thank you, Gil, you know, first of all for building an amazing company and also for the great transition and for the friendship that we've had for many, many years. And it's really, really awesome to work with you. I Can tell you that I've asked Gil with his biking not to do any double black diamond routes or singles within the next few months as I need you by my side here. So. And he said he won't. And let's see, look, just a little bit about my background, right? So I've been a part of this industry for the last 30 years as well. You know, I had the opportunity to see it from different perspectives, defending large networks and critical infrastructure on a national basis. I also had the opportunity to see this industry from the attacker's perspective, which I know which I think is very, very important. And so I have this appreciation of how difficult it is to stay ahead of the race and the fact that sometimes offense and defense are sort of asymmetric. And in the last decade, looking at this industry mostly from the innovation side. So about 10 years ago I was part of starting Team-8 and had the opportunity to watch this industry from trying to anticipate what will come in the future and build cutting edge innovation startups so that we can be ready for that future. And a Team-8, I've been involved as an entrepreneur, as an investor in building over 20 companies. Some of them are category leaders in the industry. And when I look at that history and that experience and the different perspectives, I think I can really appreciate how hard it is to actually defend our hyper connected world and our complex networks and also how critical it is to do it. And honestly, that's the reason I joined Check Point. I think with that experience and with the base that we have here, there's a huge opportunity for us to continue to lead this industry over the next few years. As Gil said, over the past couple of months I've had the opportunity to meet with dozens of our customers and partners. I've had the opportunities to talk to and get to know hundreds of our own Check Point people. And I have to tell you that my resolve has been galvanized because I'm super impressed first and foremost by the depth of our technology. I've been following Check Point from the sidelines for many, many years. But when you're in, you see different things and I was exposed to this depth, but also the breadth of our ecosystem. Coming from the startup world, it's really interesting to see the scale of the criticality of our software and how many large organizations in the world are actually dependent and relying on our technology. And then finally, I would say the passion of the people. And I think one thing that is unique about Check Point is some of the people that we have here has been here for almost as long as Gilbert. And they're super passionate. You know, some of them, when I talk to them, it strikes me that they're so excited about what they're doing after decades of doing this. And I think that's a great foundation for us to continue to lead the industry. You know, speaking about passionate people, I think this is also a good opportunity to thank Rupal Hollenbach, our president, for driving a great 2024. As Roei and Gil have already spoken about, she's asked to move on, but she will continue with us at my request to support us during the transition in the next few months. And given my focus, we'll be flattening our go to market organization so that on a personal level, but also as a focus, we can get more visibility and direct impact with our customers, with our partners, with the field. Because at the end of the day I believe that our industry is going to see, you know, I don't want to be too dramatic, but we are walking into an AI dimension and an AI era and that's going to have a huge impact. And we want to be as close to the people at the trenches because the only way to understand what's happening at the trenches, from my experience is, is to be at the trenches. So these changes include adding our Americas President and our International President to my leadership forum as well as creating a new role of a Chief Revenue Officer who will be responsible not just to lead our sales, but also to align our product organization with our sales organization and create the synergies so that we can improve our go to market motion. Beyond that, we have also created a new leadership role to drive the success of our SaaS business. 2024 was a great year both for our email security. We announced last quarter that we crossed $100 million of ARR. This last quarter we achieved a new, I believe really important milestone by getting the magic quadrant that Gartner for our email. SASE has been doing very well and we will have one leader to lead this ARR driven business. And you know this actually next week we're getting on the road, which is very exciting for me because now I can go from dozens to thousands. We're going to be meeting with about 10,000 people, employees, partners, customers from around the globe starting in Vienna next week in our Check Point User Experience conference. This is going to be my opportunity to get on stage and talk to the people and give them our vision. We're going to be launching a lot of the innovative stuff that we've been working on in 2024, we're going to be talking to our partners and customers and our own people about what is the roadmap for the new stuff that's coming out, especially around AI, not only protecting AI, but also leveraging AI to create a more simplified, unified version of our software. Again, thank you all for being here. I look forward to the relationship, and I think with that kip, I'm handing it over back to you. Yes, you are. And don't forget, we'll be seeing a lot of these folks next week or at the end of the month in Vegas. Looking forward to that. So we're going to start out with Business Outlook. And next slide, please. We're going to be looking at $619 million to $649 million for Q1, 2025 EPS of $2.13 to $2.23 and GAAP EPS 50% less, approximately FY 2025 for the full year will be doing $2.66 billion to $2.76 billion. And non-GAAP EPS of $9.60 to $10.20 with GAAP EPS approximately $2 less. And with that, we will open the call for Q&A.
Kip Meintzer: And here we go. Oh, look, I'm appearing. Who do we have up first? First on the call? First up today is Adam Tindle from Raymond James, followed by Joseph Gallo at Jefferies.
Adam Tindle: All right, thanks and good morning and congrats, Gil. Congrats, Nadav. Great to hear. Very strong finish and great start to your new tenure. Nadav, you mentioned how you have different perspectives, and I think that's particularly interesting to investors. As you assess the opportunities for Check Point, I wonder if you might just dig a little bit further into innovation and Tech Stack. We compare Check Point to some of the larger competitors. Some have focused on other areas, whether it's SASE in a bigger way or endpoint platforms that are larger. So as you use your different perspectives and think about the Tech stack and innovation opportunity at Check Point, what would be sort of the top buckets that you're looking at? And are you thinking about that organically or inorganically? Thanks.
Nadav Zafrir: Thanks, Adam, and good to see you. I believe that we've done a really good job in the last couple of years. Some of our acquisitions have been very successful. I spoke about email you mentioned SASE. With the acquisition of Perimeter 81. We've had a great year in 2024. What we need to do right now is to merge everything into what we call a hybrid mesh network. I think that when I speak to our Customers. When I speak to our partners, when I sit with them and try to understand the hardships that they're going through, I think that two things come to mind. Number one is the level of complexity that they have to deal with. And number two is the fact that they have different point solutions. And I think that they can already see that the attackers are using the crack between those point solutions to their benefit. And so, when we look at 2025 and beyond, the idea of a hybrid mesh network, to take the already incredible scale that we have with our quantum firewall, merging that with what I believe is a great SASE product, and creating the idea of a mesh architect unified through the Infinity platform. Now, I know that on every call with everybody from text, you're going to hear about artificial intelligence. I'm not going to differentiate myself on that. I think that's the next level. It's literally a new dimension that we're walking into. And on that front, we need to think about it from two perspectives. One perspective is what are the new things we need to defend? And we're going to be talking a lot about that at CPX at our conference next week in Vienna. And beyond, what are the new tools? How do we use existing tools to defend new places where what we call the attack surface that is becoming blown up by new ideas that attackers can go after, whether it's new models, model inversions, using deep fake, et cetera, but also how can we leverage AI to make their lives much more simple? Right. And that's something that we started in 2024, and I think we're going to show a lot more of that. So to sum up, Adam, we are going to continue to build on the acquisitions that we have done and we are going to look to do more acquisitions where it fits in our strategy of the hybrid mesh architect.
Kip Meintzer: All right, next up is Joseph Gallo, followed by Shaul Eyal.
Joseph Gallo: Thanks for the question, Gil. Congrats on the increased bike rides. And Nadav, congrats on the new role. Look forward to working with you.
Kip Meintzer: Nadav. You may hat's on your new baby.
Joseph Gallo: Thank you. Thank you. If you could send sleep, I'd appreciate it. Nadav, you made several go to market changes in your first quarter. Can you just further elaborate on what changes are needed and over what time frame you expect those to take root? And then maybe really bringing you into this, how are you thinking about the implications of go to market changes? On your guidance. Thanks.
Nadav Zafrir: So generally speaking, Joseph, and congrats on you new baby and my empathy on your Lack of support, sleep. It takes about a couple of years from my experience. But anyways, look, so one thing that we want to do is we want to be as close to our customers as possible. I want to have a direct impact on our go to market and to that end we're going to make the changes in the leadership. So instead of having two folks representing the market, sales, marketing and the leadership team, we'll have six that will enable and build on the already strong foundation that we have with a focus on America. I believe that it's always been the truth and going forward I think that it's the cyber industry. The latest and greatest adoption will be in America and we have great folks there and we continue to focus there. So that's from the go to market side. And the last thing I'll say about that is to create a real cohesion between our product team, our marketing team and our sales team.
Roei Golan: And to your question around the guidance, of course it was taken into account. That's why we are providing you kind of a wider range both on the revenues and eps. And again, I have to say that we finished strong there. That also affect 2025 numbers and also we're starting good with 2025 Q1. So I think we feel confident with the guidance we provided even with the changes.
Kip Meintzer: All right, next up is Shaul Eyal, followed by Jonathan Ho.
Shaul Eyal: Thank you, Kip. Congrats, Nadav. Congrats, Gil, easy on those bike riding. Congrats to Joe as well. Nadav, my question is maybe slightly more specific on the product front. I hear your commentary about the mesh, the hybrid network. In your initial 100 days with Check Point, where do you see the products maybe needing slightly more depth or improvement? That's on the one hand and maybe the other side of that is I think everybody understands the strength of check point, without a doubt. But from your perspective, from where you currently sit and from where you sat in the past, what are some of the points of improvements you want to take? Check Point. So we can better align Check Point with the overall industry growth?
Nadav Zafrir: All right, I'll say this. I think our strength is our reliability uptime and the best prevention in the industry going forward. With this idea of hybrid mesh, we want to consolidate and create a real platform for the network. And when I say network, it's network everywhere. Right? So it's your on prem data center firewall, but it's also the cloud network security and the WAF on your cloud and your remote workforce, your SASE, your SaaS, your browser and the idea of consolidating this on one platform, leveraging AI to simplify it, is crucial to cut through that complexity that has gotten to a point where it's really hard to deal with. The other side of that is intelligence. So With Threat Cloud AI, we already announced about 48 AI engines in 2024. We're adding about a dozen new engines and lastly opening it up so that we can import data from other vendors, even if they are our competitors, and export intelligence. Because we understand that many of our large enterprise customers have multiple solutions and that at the end of the day, if they can't get a holistic understanding of what's happening in their network, they can't do the very simple thing of trusting their infrastructure. And I believe that this mesh architecture with the real platform and the best intelligence consolidated and driven and simplified by AI is a real opportunity.
Kip Meintzer: All right, next up. Oh, by the way, Shaul, thanks for dressing up. Jonathan Ho, followed by Patrick Colville.
Jonathan Ho: Thank you. You spoke a little bit about AI and with the opening of your new dedicated facility, can you give us a sense of where you see the most opportunities around AI? I don't want to cover what you've already sort of talked about before, but I just, on a forward-looking basis, try to understand how that becomes a differentiator for Check Point. Thank you.
Nadav Zafrir: Yeah, thanks, Jonathan. So, you know, if I try to zoom out for 60 seconds, we're obviously at the end or not at the end. We're in a process of connecting more and more things to our network to the point where a few years ago it became what we call a hyper connected mesh environment that is accelerating. And I don't think that's going back. I think when you couple that with a new dimension and a new era of AI, things are about to change. And I would like to put it in three different buckets. Bucket number one are the things that actually will probably remain similar. That's where we believe that at the end of the day, you will need an infrastructure that enables competitiveness, usability, efficiency for our enterprise customers primarily. That's not going to change. And you know what else is not going to change? At least for the foreseeable future. At the end of every one of those nodes in the mesh, you're going to find a human being with all of our flaws. It is what it is. In that sense, the AI can create more autonomous capabilities. We will be showing our roadmap to zero trust using AI and autonomous capability, looking into autonomous capabilities in the near future. The second bucket are Things that have already changed dramatically. When you look at it from the attacker's perspective. Attackers that in the past we used to look at as relatively amateurish can now come and pose. And we're seeing it happening already as very sophisticated attackers because they have AI at their side. And from my experience, attackers are usually more agile than defenders for many reasons. We don't have time to get into it, but we're seeing them being more precise, we're seeing them being at a larger scale and we're seeing that the ROI for attackers is improving dramatically. So stuff that could have taken them a couple of years can take a couple of weeks. Stuff that would take hundreds of engineers on the attacker side could take a few. From what we need to defend all the way from defending our prompts to as we use Gen AI so that, no, you know, so that we know critical data that or sensitive data that doesn't go out of our information, out of our systems. So in that bucket, it's literally trying to stay ahead all the time and engineering, right. So we're going to show our how we protect AI and how we use AI to simplify. And then the last bucket, and forgive me for being a little bit philosophical here is the bucket of what we don't know. We believe our research is constantly trying to understand what's around the corner that can really change our industry dramatically. I don't know if it's going to happen next week or in two years, but I think there will be big things that will change our industry. To that matter, our research center will look and try to predict different futures, put different probabilities to them, come back to the present and say, okay, so this is the route that's going to happen. What do we do about it? And the last thing I'll say about that is that we need to be humble because when we go into a new dimension, there's also this limitation of imagination that we have. So we need to take care of all these three buckets when we think about AI.
Kip Meintzer: All right, next up is Patrick Colville, followed by Joel P. Fishbein Jr. All right, cheers.
Patrick Colville: I mean, Gil, you're, you know, you're a godfather of the firewall industry. I mean, you're a godfather, the Israeli VPC ecosystem and Kip's the godfather of IR. So looking forward to this big next chapter.
Kip Meintzer: Leave it to the Brits to be so complimentary and sweet talking.
Patrick Colville: And Nadav, I mean, you've been talking non-stop, so I'm just going to give you a break. Roei, I mean, RPO rose 12% in, you know, in fiscal 24 revenue guidance for fiscal 25 is 6%. You know, that's a, that's a big disconnect. So can you just talk through maybe the LPO strength in 4Q and just puts and takes that fiscal '25 guidance. And you know, is there a realm where we could see double digit revenue growth in this coming year?
Nadav Zafrir: Yes. So first of all, RPO remind you that it's not only, it's not, it's not backlog that's going to be everything will be translated into revenues in the next 12 months. It's the total RPO. But again, still, we did have a great quarter with strong billings. Also short and billing were at 9%. I think when I'm looking on the guidance, I think Joe asked me about the guidance and about the changes. I think we feel confident with the guidance we hope to finish in this year. We hope to finish more close to the high end of our guidance. But definitely I don't think again, double digit this year. Again, I don't want to talk about this or double digit. But definitely we're starting the year with a great momentum, with great Q4. Also when I'm looking on the pipeline for Q1 looks good. So I think we are starting great the year and hopefully when we finish 2025, we'll show you that the revenues will be on the high more closer to the high end of our guidance and not far from the, from the midpoint.
Kip Meintzer: All right, next up is Joel P. Fishbein Jr. Followed by Shyam Patil.
Joel P. Fishbein, Jr: Nadav, I'm going to come back to you if you don't mind. I love what you've outlined so far in terms of changes to go to market. I don't think anybody will argue that Check Point's got a fantastic product portfolio. One of the things that's been missing though is net new customers, Right. That's, you know, and can you just talk a little bit about the strategy about going after some of these net new customers, particularly in light of some of your competitors that are really discounting very aggressively in the market to gain market share amongst this platformization strategy, et cetera, vendor consolidation? That'd be really helpful. Thank you.
Nadav Zafrir: Thank you, Joel. I want to start by saying that first of all, when you look at 2024 and the last quarter, we've actually grown nicely with Netune logos and hopefully we can continue this throughout 2025. The next thing that I want to say is that yes, we are going to be focusing our go to market motion, but we're not going to change one thing which I love about check point and I don't want to change. Security is about security and we're going to keep that. Having said that, one thing that I've already announced as an example is this new form, the leadership role on my leadership team that's going to lead all of our SaaS high growth business and we finished last year with a nice 27% growth and that's something that we want to accelerate. And so I think with our, with our SASE business, with our email business and the consolidation that we're doing at the Infinity platform level with the idea of a hybrid mesh, hopefully will lead us to gain more new customers faster.
Kip Meintzer: Next up is Shyam Patil, followed by Joshua Tilton. Hey guys, Congrats.
Shyam Patil: Adopt congrats. Gil, I guess I had a question around the firewall refresh that some of your competitors have talked about. I'm just curious as they kind of go through sizable refreshes this year, how big of an opportunity is that for you guys? And, and then Roei, I guess when you kind of look at your outlook for the year, anything material you're contributing for factoring in from that or is that potentially an upside driver as we go through the year?
Gil Shwed: I can start and Nadav you can add afterwards. So I think when I'm looking first of all on our business outlook on the guidance for the so we didn't take into account, I mean it's probably it's going to be upside if we'll be able again I think as you mentioned, our competitors I think disclosed that it's going to they have a significant install base that will be end of support by the end of '24, '25 and '26. So definitely it's something it's a huge opportunity for everyone in the market. We also see by the way the very positive traction around our firewall in the last few quarters. So definitely we want to stay to see that this momentum continues. So in terms of the guidance, again we didn't take any significant factor from that. But of course it can be a significant upside for us. We have a lot of plans around a firewall refresh and also gaining net new customers from our competitors. But that's definitely going to be upside for our guidance and Nadav. You want to add something around it?
Nadav Zafrir: You know, the only thing I would add is that we're going to be watching it closely and hopefully it's not just an opportunity for us for the firewall and appliances, but also for customers that are looking for this idea of a hybrid mesh and the Infinity platform. Because for us in 2025, one of our focus areas is SASE and the firewall component. With three decades of experience where we've seen every permutation, every mutation coupled with our differentiated sosi, which is more agile, which can allow not only to send everything to the SASE every time, but actually use it or sometimes do the protection at the edge, sometimes do it through the cloud, sometimes go direct, makes it more efficient. And I hope that if this refresh cycle actually gets there, it's an opportunity to introduce not just our firewalls, but also our software products.
Kip Meintzer: All right, up next is Joshua Stilton, followed by Robbie Owen.
Unidenified Analyst: Hey guys. And blanketed, congrats to everyone. Maybe just two. Nadav, I'll start with you. I think in your kind of your prepared spiel, you talked to leading the industry for the next few years and I guess from your perspective, like what does an industry leading growth rate look like for check point over that time frame? And then maybe just Roei for you really quick, can you, I understand the strong growth exiting the year, but can you help us understand maybe on an organic basis how some of those metrics look from a growth perspective coming out of Q4?
Nadav Zafrir: Yeah. So for me, I'll just shortly say two things. Again. The springboard that I'm coming out of is great and I'm very thankful for that to the whole team and especially to Gil, which is handing over the baton at a good time. To me, I think that leading the industry is first of all obviously not just about the growth, but also about the technology. We spoke a lot about that. In terms of growth. What I want to be able to do is a continued healthy, sustainable growth. Right. So you're not going to see any mega changes because I think that one of the great things about Check Point is the efficiency and the healthy growth. Now we can maintain that health and accelerate growth in a sustainable way. I think that's what a leader looks like and that's what a sustained podium player company needs to do.
Roei Golan: And in terms of to your question around the organic versus non organic. So we had Cyberintt, of course acquisition that we closed in the end of Q3. They contributed less than 1 point to our billings and revenues. So it's not significant. It's less than one point to our billings and revenue. So the others, everything is organic.
Kip Meintzer: All right, up next is Robbie Owens, followed by Fatima. I'm soon out on maternity leave. Boulani.
Robbie Owens: Thanks, Kip. And good afternoon, everyone. I was hoping maybe you could parse for us just what you're seeing across the various theaters relative to GEOs. And you know, as you look to reinvigorate growth, I look at that North American number. Obviously, you want to do better. You talked about the Americas being significant and you did mention in some of the go to market changes. But what is really going to take to start moving the needle the other way on that front? Obviously very hyper competitive here in the U.S, thanks.
Nadav Zafrir: Thanks, Rob. Yes, it is probably the most competitive area, but it's also the most important we have, you know, under Rupal's tenure we've built a solid boots on the ground leadership team. But that's not enough. We need to reinvigorate that in many ways. First and foremost, get out there. That's one of the reasons that the board hired me. That's one of the reasons that Gil believes that I can take it. So get out there, sit with the customers, look them in the eye, understand what works, what we need to improve and also look at it from different industries perspective. So for example, we have, we're very strong in the financial but we need to see what each industry needs, what are the playing blocks that we need to add for other industries. And hopefully with the, with the idea of simplifying a lot of this and creating an ROI which is superior, we can start accelerating our growth in the United States and the rest of the Americas.
Robbie Owens: Roei, any comments on the various theaters and what you're seeing? EMEA versus us.
Roei Golan: So I have to say that the US had a great quarter. I mean you don't see it in the booking and on the revenues, but on the booking side, definitely we had a great quarter in the US and all in all America's region. We wanted to, I mean also and I'm looking at 20, 25 looking on the first quarter looks great in the US and Americas. We hope that it will continue for the remaining of this and of course long term. So again we are in a definitely we see significant improvement there.
Kip Meintzer: Thanks for phoning that one in, Rob. Next up is Fatima Boulani, followed by Brad Zelnick. Fatima, Congrats in advance.
Fatima Boolani: Thank you very much for that very kind introduction. Yes, I'm baking away over here. Very nice to meet you, Nadav. Very much look forward to working with you. It's very clear you're bringing a ton of New energy and really redoubling on some of the focal points and efforts of Check Points go to market reinvigoration. So I wanted to spend more time on that front. You're bringing in new executives, you're talking about really reinforcing the visibility with customers. So what I want to ask you is how should we think about the sales strategy from a sales capacity growth perspective as you look at 2025 and then if there's any specifically deliberate changes you are going to be making from a segmentation, a verticalization perspective in the go to market organization? Thank you.
Nadav Zafrir: Yeah, thank you. I agree. Great to meet you. Looking forward to working with you as well. I'll say the following two things. Look, number one is this is not going to happen overnight. I know that the expectations are very high but I also want to be responsible and reasonable and this is not going to happen overnight. But yes, we want to grow faster but it will be a process because we want to grow faster and sustained, healthy, responsible way. On the segmentation. The first thing, the first two things that we're going to do is I'm adding the marketing leader to my leadership team and creating the new role of the SaaS high growth to include email and SASE cloud network security endpoint. So that's going to be consolidated because some of the consumption of these solutions and these software is also changing and it's not necessarily the same buyers as well and so we need to change that as well. So look at it from the buyer's perspective, look at it from the consumption perspective and look at it from our own technology perspective. But ultimately, as I said before, and I'll repeat it, bringing it all together to be this idea and strategy of a hybrid mesh, one platform and a real platform.
Kip Meintzer: Thanks Fatima. Open to see you at CPX. Next up is Brad Zelnick followed by Hamza Adarwala.
Brad Zelnick: Thanks very much Kip and nice to see everybody. Nadav, welcome. My question Nadav for you follows Fatima's go to market. Your message of being as close to the customer as possible makes a ton of sense. I'm curious to understand what does that mean for the channel and then related to that, Rohi, the growth in sales and Marketing expense in Q4 is the greatest since 2018. How much of this is direct sales headcount ads as you hit the ground running into next year? Or is it more variable marketing and incentives? How should we think about the composition and timing of sales and marketing expense hitting the P&L into next year as you bring the dobbs go to market vision to life.
Nadav Zafrir: I'll start with the channels. Our partners and channels are imperative to our success. They've always been and we want to be the best partners to them. And if we want to do this at scale, we must do it with them. And so like I've said before, I'm halfway through my first 90 days. I've met a few. In the next four weeks, I'm going to meet with dozens more. And so, yeah, being out there is not just being out there at the trenches where security actually happens, but also understanding from our partners, whether it's the partners that are going after the large enterprise, all the way down to our MSSG partners, what is the way that they want to use our products, consume our services, how do we work together to, at the end of the day, be better stewards to the end customers, which I really understand how hard it is for them day in, day out to actually work through the complexity of their network.
Gil Shwed: And for your question around the sales and marketing, So I think two factors here, one we had Cyberintt, that's COMFO P013 points to the 18% that you see. And the other is around incentives. Of course, we added some other sales at Con, but also around incentives. I mentioned that our new business and also new logos had a great job. I mean, we had significant growth in new business in the quarter. The commission is mainly paid over new business. So we did see higher commission. I think you don't see it still in the revenues, but again, the quarter was strong. So in terms of new business. So on the expense side, we do see some of these expenses already in the P&L.
Kip Meintzer:
Fodderwala:
Hamza Fodderwala: All right, thank you for taking my question and congrats. Congrats to Gil and Nadav. Nadav, a question for you. You mentioned at Check Point now for just about 90 days and one of the things you did really well at team 8 is you had a really strong network of CISOs. So you mentioned some of the things Check Point does well when you talk to customers, when you talk to CISOs, what are one of the one or two things that check Point could do better? And then for Rui, I'm sorry if I missed it earlier, but in your guidance, what is the assumption around operating margin for this year and was there any, you know, FX benefit to that? Thank you.
Nadav Zafrir: Thanks, Hamza. I think I would say two things. Number one is I think Our customers are expecting us to innovate and to be out there with our SaaS models, with our SASE solution, to leverage AI, both to make their lives simpler, but also to secure their AI assets. I also think that. And that's something that we're going to try to do faster, but the one thing that they love about us, that we don't want to change is that we do it responsibly. So that is innovate at scale with the highest uptime and not losing the eye on the prize at the end of the day, which is about security. Right. So we need to bake all that in. And I hope that we can accelerate this process but not lose the magic of high up time, scalable, easy to use, et cetera. And again, I know that I've said that a few times, but you can't overstate the importance of understanding the opportunity that comes with new AI capabilities to do that.
Roei Golan: And around the guidance and the operating margin. So we expect similar margin might be half percent below than what we've seen this year. Again, mainly because of the cyber acquisition that we discussed. I mentioned it as part of our presentation. We don't expect to see significant FX benefit next year in 2025. Again. So that's…
Hamza Fodderwala: So that's in terms of the margin for next year, that was half a point, Rui. Half a point. Simply half a point below what we.
Kip Meintzer: All right, our next up is Saket Kalia, followed by our last question of the day, which will be from Roger Boyd.
Saket Kalia: Okay, great. Hey guys, thanks for taking my questions here. Congrats to the whole team. And Nadav, really good to meet you here virtually. Maybe for you, Nadav, I mean to just the focus on SASE, it feels like SASE, just as a market is really hitting more mainstream adoption, how do you sort of think about differentiating in that market with perimeter 81 and maybe relatedly Roei, for you, how do you sort of size that business or maybe the total infinity business, just to sort of put a line in the sand as we think about that becoming a bigger, a bigger business in the future?
Nadav Zafrir: So on the differentiation side, the architecture is different and when we say, when I say hybrid, that means that we have the ability to work point to point on a mesh, but also the ability to work through the [indiscernible] cloud and have the ability to also operate at the edge. So that gives us flexibility and agility. I think it gives us the opportunity to make better prevention and it also makes it more cost effective because not everything has to go through the cloud. And this allows us also to accelerate our road to zero trust, understanding not only who is at the other end in terms of identity, but also intent. And based on that, make a decision on the spot what is the most secure but also the most cost effective way to do it. And right now, at least to the best of our knowledge, the best of my knowledge, this hybrid architecture, hybrid mesh architecture is unique. And that's what the folks from Perimeter 81 brought. Now, when we merge that with the firewall capabilities and the depth and the breadth that we have, I think this is for enterprise customers especially, that have multiple use cases. Because, look, some of the stuff that is already out there is good for niche or specific use cases. But when you're an enterprise and you have every sort of permutation and every, you know, end of, you know, long tail meet, I think that this brings a real differentiation.
Roei Golan: Okay, did you ask me, you asked a question about infinity. Can you ask it again just to the size of infinity?
Saket Kalia: The question was. Yeah, yeah, yeah, that's right, Roei. So the size of infinity or the size of print or anyone, however you want to size it, just to. Just to sort of get a sense for that kind of that SaaS part of the business?
Roei Golan: So I think infinity, we made approximately 15% of our revenues today in terms of booking is much higher. So we expected to see in 2025, this percentage going significantly higher. In terms of SASE, again, it's still small, but again, we did it very nice. I mean, the SASE grew very nicely in 2024, and we do expect to see another uptick in 2025 with all the improvement and all the. The work that was done in the last 12 months around the product.
Kip Meintzer: Thanks, Sackett. And our last question is going to come from Roger Boyd. Give it your shot, Roger.
Roger Boyd: Thanks, Kip. I'll echo my congrats to both Gil and Nadav on cloudguard. I think Gil mentioned it was a strong quarter. I would love to get a little more color on what went well. Any metrics? There's. And then specifically for Nadav, we'd love to get your vision on how competitive you think you can be in that space. I know you mentioned 2025 will be a focus on SASE, but where does cloud security stack up in terms of focus areas? Thanks.
Nadav Zafrir: Yeah, so for the cloud part, where we want to shine is creating one policy across all of your network state. So instead of having one policy for your data center, one policy for your branch, one policy for every one of your clouds, we want to bring the ability to unify that. So we're going to be focused on cloud network security and our cloud firewall. We also have a very strong software for WAF, and we're going to, again, put that into this idea of the mesh architecture.
Kip Meintzer: All right, that covered for you, Roger. All right.
Nadav Zafrir: Thank you very much for joining us. That's the conclusion of the call. We'll see you throughout the Quarter. Myself, Nadav and Roei will be visiting quite frequently, so take care. And we look forward to seeing you in the Quarter Very much. Thanks, folks. Thank you.
Operator: Goodbye.